Operator: Hello, and thank you for standing by. My name is John, and I will be your conference operator today. At this time, I would like to welcome everyone to the Aena Third Quarter 2025 Results Presentation. [Operator Instructions] I would now like to turn the conference over to Carlos Gallego, Head of Investor Relations. Please go ahead.
Carlos Gallego: Good afternoon, everyone, and welcome to our 9 months 2025 results presentation. This is Carlos Gallego speaking, Head of IR. It's a real pleasure being with all of you today. Our Chairman and CEO, Maurici Lucena, will host the call together with Ignacio CastejÃ³n, CFO; and myself. As usual, we are going to cover the main topics explained in the results presentation, and we will finish with a Q&A session. [Operator Instructions] without further ado, I give the floor to Maurici Lucena. Thank you.
Maurici Betriu: Thank you very much, Carlos. Good afternoon, everybody, and thank you for joining us to our 9 months 2025 results presentation. As usual, I will try to go through the key highlights of the period. Then I will give the floor to our CFO, Ignacio CastejÃ³n. And as always, we will conclude the conference call with a Q&A session. I will start with traffic as usual. As you can see in the information we have conveyed this morning to the market, traffic volume across the Aena Group grew by 4.1% year-on-year. In Spain, the increase was 3.9%. And I would like to stress clearly that we do confirm our 2025 traffic guidance of 3.4% year-on-year. So this increase in the first 9 months of the current year have confirmed our guidance, in other words. And if I jump to our international activity, in Luton, the increase in the 9 first year -- first months of the year, excuse me, was 4.8%. In Brazil, in the -- or BOAB, as we call it in Spanish, concession, the increase was 5.5%. And in Aena's ANB, the increase was 5.3% in traffic volume. If I move to our financial performance, total revenue in the first 9 months of 2025 reached almost EUR 4.8 billion, EBITDA EUR 2.9 billion, and the EBITDA margin stood at 60.2%. If we exclude the impact of the IFRIC 12, the EBITDA margin would be 61.9%. And net profit reached almost EUR 1.6 billion. And in this sense, I would like to highlight that the commercial activity really performed very well. Sales grew by 8.7%. And I would like to remind you that the tenders awarded in the first 9 months of the current year in specialty shops, they guaranteed minimum annual guaranteed rents in 2025 and 2026 that are 33% and 40% higher than in 2024. And in the case of food and beverage, the growth rates are 19% and 20%, respectively. You know as well that Aena has launched the tender for 98% of the food and beverage business in Barcelona. And I would like to say that we are very optimistic on the results -- on the eventual results of this tender. And I now move to the real estate business. Total revenue grew by 13.7%. And as you well know, we have launched simultaneously the tender process for the first hotel developments in Madrid and Barcelona airports, and we are also optimistic on the results. And finally, the contribution of the international EBITDA to the consolidated figure was in this first 9 months, EUR 307 million, which represents an increase of 23.3%. However, you know that I don't usually join you for the financial results presentation of the first 9 months of the year. And actually, the reason why I have joined you today is because I wanted to be crystal clear on 3 elements that are very important for Aena and for our financial results presentation and are important messages that I would like to convey to our shareholders, to analysts and in general, to investors. So I would like to make a few comments. Firstly, on the ownership of Aena's assets of Aena's Airports. Secondly, on DORA III and what we expect in principle of DORA III. And thirdly, on dividends and the way forward, let's say. So I will start with ownership. And you know that in the last months, there have been too many, I would say, statements made by some political representatives from some regions in Spain regarding airports owned by Aena. We were convinced a few weeks ago that the moment had come to issue -- I think it was a very clear communication to the market through De la ComisiÃ³n Nacional del Mercado de Valores, the CNMV. And within this communication, we stated that Aena has been undertaking a very intense advocacy activity, at least since the summer of 2024. I'm completely convinced that the current legal and constitutional framework, and because this is also very important, Aena's shareholder structure, the combination of private and state-owned shareholder structure, both this constitutional framework and our shareholder structure provide a very strong protection to the airport system and specifically to Aena, to our company. And I think that this preservation of the current model is especially important when we have announced, as you know, a very strong volume or very high volume of investment in the coming years. You know that we are going to embark on a period of major investments contained within DORA III. And you know that this investment that we announced a few weeks ago will culminate in the modernization and the expansion of many Spanish airports, which aside from Aena are essential to Spain's economic development in the coming decades. So that's why we are so convinced that this investment is good, both for Aena and both for our country or the country where Aena was born and where Aena has its main activity. So in other words, I would like to paraphrase a very well-known central banker. And I would like to state that the Aena is ready to do whatever it takes to preserve its model and its net asset value. And believe me, the combination of the constitutional framework, our shareholder structure and our determination will be enough. This is my conviction, and I would like to convey it very clearly to the market. Now I move to the second important point, DORA III. You know that on September 18, we announced our CapEx proposal for the third DORA -- for DORA III with a total amount of almost EUR 13 billion, of which almost EUR 10 billion corresponds to the regulated activity. You know that the aim of the investment related to DORA III in Spain is to add significant capacity, deliver better service and comply with regulatory requirements in Spain. And again, I would like to say very clearly that the top management team of Aena that I lead since 2018, I think, that deserves very much credit when I say clearly that we expect a technically reasonable WACC for DORA III. In other words, I think that the investment proposed by Aena will be technically very well -- or not very well, reasonably remunerated. This is what I would like to stress in this message because I've read many things. And at present, I'm completely convinced that the WACC will be reasonable. We don't ask for anything else than reasonability in the building of the WACC for DORA III investment by Aena. And thirdly, and finally, concerning dividends, you know that our current payout is 80% of the net profit. And again, I would like to be crystal clear. At this moment, when I look to the future at this moment in time and with the information that I have in front of me, I don't see reasons to change our current dividend policy. This is the end of my brief presentation. I now will give the floor to our CFO, Ignacio CastejÃ³n. And of course, I am at your disposal to answer any questions at the Q&A session. Thank you very much.
Ignacio Hernandez: Thank you very much, Maurici. Hello, everyone. Good afternoon. This is Ignacio speaking. I'll try to be brief so that we have time afterwards for our Q&A session. On traffic, I would like just to share and highlight the important growth -- strong growth of the international traffic in our Spanish platform. International traffic grew by circa 6%, 5.7%, in particular, while the domestic traffic remained flat, as all of you know. In this regard, I would like to also to remark the important and the positive performance of the long-haul markets. You know that this is a market that is still smaller than our European and our Spanish market. But looking at the growth rates that we are delivering for Africa, Middle East, Far East and LatAm, I'm convinced that this is an important trend and a market that we will keep working on them. The company recently confirmed the capacity that we are seeing as of today for the winter schedule that happened last week with the information that we have now. And this is around 3.5% growth compared to the latest information that we have for the real seats delivered in 2024. I'm going to move directly for the purpose of being conscious of time to cost because I have read some comments on cost this morning. When I look -- and I'm referring to Slide 7, total operating expenses of the group grew at around 10%. And basically, this has been affected because the accounting rules that are applicable in Brazil, IFRIC 12. If we were excluding the increase in our cost related to IFRIC 12, that 10% would be around 5%, 5.5%, if I am accurate. And when we look at the Spanish network that I also read some comments this morning, the total operating expenses are growing at 6.6%, reaching EUR 1.5 billion. Let's have a short discussion on this item. Mainly the increase is explained by a couple of things, 10.9% rise in personnel costs, basically is the result of higher payrolls, additional headcounts, the improvement of the variable retribution schemes in the company and a number of other things. This is something that is just the result of our collective agreement, our collective scheme and also adding more people so that we are prepare for DORA III and also reacting to the increase in activity that we have seen in the last 24 months of the company. When we look at other operating expenses that are amounting EUR 996.7 million, I would like to share with all of you 3 things. This is for the first 9 months of the year. And I was also having a look at some of your views about the third quarter, and I think it's important that we address your comments. As you know, the third quarter of the year is the most active and the most intense quarter that this company had from a traffic standpoint. Secondly, as we have been sharing with all of you, we are seeing a trend in many of the contracts that we are awarding to our suppliers and providers. That is a trend that is confirming that the most of our costs related to security, maintenance, cleaning, PRM services are going up. They are not going down. And this is basically as a consequence of inflation trends, as a consequence of new salary rules applicable in Spain being impacting many of these costs, also new regulations applicable to Aena and also to our subcontractors. So there is a trend there that is basically impacting us and is impacting the whole sector and many activities in the country. And finally, there are a couple of things that are affecting the comparison of this quarter with the performance of the other operating costs that we saw in the first 6 months of this year. Many of you were stating this morning -- or some of you, sorry, that the increase in cost in this third quarter was higher than the trend in the first 6 months. Well, there have been a couple of things explaining why -- or there are a couple of things explaining why that has happened. In the first 6 months of 2024, we recorded a significant provision because of the Chapter 11 of one of the real estate company that we have operations with. And therefore, the cost increases that we have that year, so in 2024 was material in the first 6 months of 2024. So when we compare the first 6 months of 2025, the comparison was a very light increase. The provision, if I remember well, that we marked at that moment in time was circa EUR 15 million. On top of that, there have been some costs that in the past we incurred in the first 6 months of the year -- in the first part of the year that in 2023 -- 2025, sorry, are happening on the second part of this year. For example, advertising, that's something that we will incur in the last 6 months of the current year. Let's move to commercial that I think is where we have a very good news, I think as usual in the last quarters that we are sharing with you. And I would like -- the Chairman and CEO have already highlighted the significant growth in sales. I would like to share with all of you more than data that you already have in the presentation. The reasons why we think we are delivering this performance, there are a number of reasons. I think, first of all, the progress in the remodeling works, refurbishment works in most of the units awarded to our tenants. Secondly, we are adding commercial surface. We are adding more and more space, for example, in duty-free. When we awarded the last contract -- the current contract of duty-free, we said that we were going to increase the space for this activity, and that's happening. We have added around 10,000 square meters to this business line. The works are progressing. Madrid and Barcelona, we are almost done. We are introducing new business concepts. So as we discussed in the results presentation back in July, we have more and more hybrid concepts where in the duty-free areas, you can have F&B experiences and you can buy other products. We are introducing new brands that are fitting more and more with the passenger profile. We are, of course, taking into account and enjoying the consequences of having better conditions in our contracts that the Chairman was referring to the awards of the first 9 months of the year. So MAGs are going up, and that's resulting into better performance. And let me finish just with the strong performance that we are seeing in the mobility-related services. So car rental activities. We have the new contract, but also we are seeing more and more transactions at a higher average transaction value in the car rental business. And finally, the VIP activities that the company has been devoting a lot of work and activity is performing extremely well with a delivery of around 30% of growth, mainly explained by the increase in prices. We are adding services. And of course, we are attracting more and more passengers. The growth rate in passengers -- in users, sorry, is much higher than the growth rate that we are seeing in the traffic through our facilities. And let me finish on the international front. The Chairman has referred to the growth in the international EBITDA contributed to the whole group. I would like to basically highlight on Luton. I would like to share with all of you that in the third week of September, the Luton team successfully delivered the parking lot -- the construction for the parking that had a fire a couple of years ago was properly delivered and that facility is already up and running, and therefore, we are collecting revenues. And secondly, the insurance related to this fire, we managed to deliver a settlement -- we managed to reach a settlement with the insurance provider. And therefore, we shouldn't expect any kind of claim or litigation in this matter. That has been settled, and we have received what we were expecting to receive. And on Brazil, I would like to highlight the strong operational improvement that we are seeing in local currency. When we look at the growth in EBITDA in our Brazilian assets, the Recife portfolio and the Congonhas portfolio, we are seeing growth in Brazilian reais of around 20% of our EBITDA in those 2 assets, which are very good news and confirm our views that we would be able to attract traffic growth, but also perform positively on the OpEx front and increase the commercial performance in these 2 assets. On Congonhas, I would like to highlight with all of you that the construction activities have already -- are progressing materially. That's why you are seeing in the slide that you have in front of you that CapEx for the first 9 months is around EUR 150 million. The goal and our obligation according to the contract signed in that country is that by mid of 2028, we should have done all the CapEx activities in that airport. And without further delay, I would like to stop there so that we have all the necessary time for your Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Cristian Nedelcu with UBS.
Cristian Nedelcu: It's a 2-part question, if you allow me. A lot of investors are trying to understand a little bit better this incremental CapEx of EUR 3 billion to EUR 4 billion that you've announced a couple of months ago, but trying to understand if it's good or not so you're spending that, what type of returns you can get on the nonregulated side. Could you give us a bit more granularity? There are some information on Slide 11. Can you tell us a bit more how much of this CapEx is for growth? How much is for maintenance, security or other? Could you talk about any metrics incremental retail space or any other metrics that will allow us to better judge the return on capital employed you'll get in this asset? And the second part, if you allow me, you've shown in your slides a lot of the projects in this CapEx plan -- are in planning mode. So from the perspective of the time line, how much CapEx do you think you'll spend in '27, '28? Is it fair to assume that CapEx is more back-end loaded?
Maurici Betriu: This is Maurici Lucena. I would just like to make a very brief introduction to your first question. And then I will give the floor to Ignacio Castejon to our CFO. I was honestly very surprised when the day we announced our CapEx proposal, which, of course, is a proposal because we have -- you know that we have a period which is defined by law in which we have to discuss our proposal with airlines. We need also reports from the CNMC, we can marginally modify specific aspects of our proposal, then there's the profile of the airport charges and so on. So -- and eventually, it is the government, which in its role as a regulator decides what the final DORA III investment will be, but I was a little bit surprised or very surprised by the market reaction by the decrease of our share price, the day we announced this because as a professional economist, when I think about what is Aena's business from the regulatory perspective, it is almost everything about the wrap, and of course, if we were another company, I could understand some of the, I don't know, of the doubts, but I think that our track record, our delivery, it has been very good in the last decade. I say the last decade because it is in -- it was in 2015 when we went public, and we became a listed company. And I think that we are a reliable company. So I think that, of course, there are risks when I know, when you project such a high amount of CapEx, but this will be good for the company. This will increase our RAP, will improve our airports, will improve our -- the quality of the services we offer to our customers, to our clients. And in the end, this will be -- how would you say that -- it will -- sorry, because the words came in Spanish, and I wanted to be very precise. This, in the end, the increase of the RAP with such a hike volume of investment will generate value for the company without doubt. So this would be my first, but I would say, important reflection. And I now give the floor to Ignacio.
Ignacio Hernandez: Thank you very much, Maurici. And thank you very much for your don't know, super question or 100 questions in one question, Cristian. I think as the Chairman was explaining, we are at a very early stage of the consultation process. It has just started. I think this is the second or the third week of the consolidation process. The teams internally have been working very hard in order to have this proposal. And of course, we have a massive amount of internal information that is being discussed. The nature of the consultation process in Spain, as all of you know, is confidential. And therefore, we cannot go now publicly, assuming that we were interested in doing so and start setting all that information. Having said all that, because I will not be able to address all your queries, unfortunately, Cristian. But what I can say with you, trying to react to some of your points on the schedule, I think, this is going to be partially back ended. It's difficult for any company launching so many projects for that value being able to deliver from day 1, proportionally that amount of CapEx. So please assume that in the first years of DORA #3, the CapEx that we'll be able to execute will be lower than the CapEx that hopefully we'll be able to deliver in the second part of DORA #3. That's basically -- is a result of the of physical preparation, design, permits, et cetera, and also being up and running in a number of those projects that are in some regards, are not 100% controllable by the company. You were also raising the point on nonregulated investments, that is basically around circa EUR 3 billion. I would like to highlight a couple of things, Cristian, in this regard. I think the first one is around 2/3 of this amount is just the result of the mechanical cost allocation, in this case, CapEx allocation that is applicable to this company when we execute CapEx. So if this company is executing CapEx related to a terminal, part of that building will be allocated to regulated CapEx and part of that building will be allocated to nonregulated CapEx. So it's not that we can entertain a discussion about, are we investing in exotic extraordinary nonregulated activities that are not growth or will not deliver revenue. It's not -- it's our scope, it's our day-to-day activities, but every time that this company invests one penny in a building that is providing regulated activities given that, that building will also be providing partially some nonregulated activities, we have to allocate part of that investment to nonregulated assets. And rounding up, that is around 2/3. If we look at the other 1/3, that is 100% nonregulated activities, Cristian, I would say that no surprises here. This is going to be mainly new car park buildings, that are given that we are expanding the terminals and hopefully, there will be more traffic based on our numbers in our facilities in the next decade, there will be a need for new car park. And that's basically explaining a significant part of the 100% nonregulated investments. And this is what is behind the EUR 3 billion figure that we sell with the market in mid-September. You were also asking on a breakdown about what is behind the EUR 13 billion. I think the company has been disclosing figures related to the main projects that we are willing to start in the next DORA III. I'm referring to Madrid, I'm referring to Barcelona, I'm referring to some airports of the Canary Islands, and also other ones in the Mediterranean Coast. So I would say that around 50% of the total number of the EUR 13 billion refers to these big initiatives, transformational initiatives. The other 50% refers more to infrastructure, technology, safety and security, sustainability, innovation, planning, recurring maintenance, et cetera. So that's the kind of breakdown that I'm happy to share with all of you at this moment in time. I hope that I have been able to address your question. And I would like to finish just with another comment following up on the statements from the Chairman and also other statements related to DORA III that I have heard, and I think you were alluding as well in your question, Cristian. This company this year, next year, the very first year of DORA III, from a cash flow standpoint, is not materially changing. I think we are going to have a need to raise debt in order to invest in all this CapEx mainly in the last years of DORA III. So I would like to share this message with you in order to reduce the level that I have seen in some of you about the uncertainty or materially changing in the company, in the credit profile of the company or in the cash flow quality of the company. 2025, you are seeing the figures today as of September. I don't -- we should expect that 2026, very similar to 2025. I'm not giving you guidance. We are not providing guidance today of 2026, but it's the last year of the current DORA and you have all the information on DORA II in front of you. And as I was saying at the beginning of my answer, DORA #3, the CapEx is a bit back-ended. And if you look at our debt maturity profile, there are no material debt repayments coming in the next year and especially in the first years of DORA III. So the questions related to, can the company afford these CapEx investments, the Chairman has already confirmed the point on capital allocation with respect to dividends. And I also would like to share with all of you as CFO, that we see that this company will remain having a strong credit rating in the next years despite this proposal of DORA III, that is on the table, and we are willing to deliver. And sorry for my long answer, Cristian, but given your total and big question, I thought that was necessarily a long answer.
Operator: Your next question comes from the line of Tobias Prohme with Bernstein.
Tobias Prohme: I also have a question regarding CapEx. I guess some investors and the staff had also worried that CapEx will be higher for longer spilling into DORA IV as well given that not all of the projects can be finalized in DORA III. When you look at Slide 12 and the projects in planning stage and the pre-project stage, and then combine that with comments of the Spanish Minister of Transport, that construction for Barcelona won't start before 2032. Can you maybe comment or give us a little bit more color on your capital expectation for DORA IV. Maybe some comments on: a, what do you think for Barcelona and the Barcelona comment? And then b, sort of which other projects are likely to require CapEx beyond DORA III that is not captured in your current proposed CapEx?
Ignacio Hernandez: Thank you very much for your question, Tobias. This is Ignacio speaking. I'll be very straightforward Tobias. We have just started the consultation process for DORA #3. So start talking today in the results presentation for the 9 months of 2025, about DORA #4, I think would be a wrong approach from the company. And that's message #1. And with respect to my message, the other message that I wanted to share with all of you, some of our projects in our DORA III, of course, are longer from a construction standpoint than the 5-year period of DORA #3. So there will be some of our projects that will be totally completed in DORA #4. That's a consequence of the size and the importance of these projects that will allow the company to provide capacity for the next 20 to 25 years of traffic growth in Spain. Thank you, Tobias.
Operator: Your next question comes from the line of Elodie Rall with JPMorgan.
Elodie Rall: We talked a lot about the CapEx and that you think they are good CapEx, and you've mentioned that the WACC will be reasonable. Could you give us maybe a bit of color about what kind of tariff increase this will all translate into in the next door. I think you said in the past that you would aim to get something around low single-digit tariff increase that you view that as a good outcome. Is that something that you are still comfortable into pushing forward to? And for next year, tariffs was obviously already announced -- how secure is that? And when will we have the final confirmation?
Ignacio Hernandez: Thank you very much, Elodie. This is Ignacio speaking. I think as you know, the process, we will not have our proposal being discuss and hopefully approved by our Board until March of next year and will be subject to further approvals coming from the cabinet and regulators after summer of next year. So any indication from my side could be premature. Having said all that, I think we see reasons why there might be a tariff increase in the next years. If we look at the CapEx investments that we were discussing in the -- previously, this is a significant investment. Two, if we look at OpEx, OpEx of the company is likely to go up. There are many reasons for that in the context of a significant construction activity, expanding our terminals, bigger footprint of our terminals, more activity coming on the commercial front. So all that, I think this company will get bigger. And therefore, the OpEx of this company as a consequence of that, is likely to go up. And finally, from the remuneration standpoint, as the Chairman was referring, we think that we'll get an adequate and attractive, a reasonable WACC. And if I look at many of the inputs that are taken into account in order to estimate WACCs, what I see now is a scenario in which risk-free rates are higher, cost of debt for Aena will be higher than the one used for DORA II. So there are reasons there to defend a higher remuneration for this company in the context of DORA III than the ones that we had through the consultation process of DORA II, and that would be my answer, Elodie.
Operator: Your next question comes from the line of Nicolo Pessina with Mediobanca.
Nicolò Pessina: About the governance rights that many local authorities had has in the last couple of months, I understand Aena's view to preserve the current model. However, I wanted to understand better what the objective of the local authorities in asking these governance rights is. What would they like to do differently? And is it technically possible to give them a role in the decision or process of a single assets, maybe giving them voting rights for a single asset while retaining the economic rights?
Maurici Betriu: This is Maurici Lucena speaking. Well, I think that for the reasons why local authorities or certain local authorities ask for more involvement in the management or regulation of airports. I think that you should ask them the reasons because I don't know. I mean I cannot be abstractly in their place to think why they ask it. You know that the political world is complex. And I think that the best approach is to ask them directly. On the second issue, you mentioned again, I want to be crystal clear. We think that it's stronger than we think. We are convinced that the constitutional framework and the part of the Spanish constitution that refers to airports along with, and this is very important, along with the shareholders structure of Aena, which is a hybrid state-owned and private and listed, provides a very strong protection of the model. And in other words, Aena will and can only decide things that -- to put it simply, that are in harmony with a business case with this profitable for the company. So why the company would be interested in sharing the management of the company being the most efficient company in the airport sector, probably in relative terms in the world. Why? So this is why I say that we consider our model, which is, by the way, the model defined by law in Spain of airports and of the company of Aena very solid. And at present, I consider it impossible to modify anything in the line that has been mentioned by some political actors.
Operator: The next question comes from the line of Andrew Lobbenberg with Barclays.
Andrew Lobbenberg: Can I ask about external activities. And I know you're always limited on what you can say about where you're looking and what you're doing. But as we are focused on the scale of CapEx. And as Maurici spoke about how you recognize the importance of shareholder returns to investors, and you reiterated your expectation of sustaining the 80% dividend payout. I mean, how are you thinking in terms of the flexibility to participate in further external opportunities given that potentially Luton is on the table and then press reports have you looking at the CCR and assets and indeed Catania as well. How are you balancing this?
Maurici Betriu: Thank you, Andrew. I will be very sincere because your question is a question that -- on which I have been reflecting, I would say, a very long period of time because, yes, I will be very clear. I think that to the extent that the current information allows us to, let's say, reflect on this, I think that it is comparable so far for Aena to invest enormous volumes of money in the coming years to defend a very high payout of our net profit. And that's why I say, I said that I don't see at present any reason to change our payout policy in the coming years at present. And thirdly, the potential of M&A projects. I think that these 3 elements, investment, a very generous dividend policy and potential M&A projects are comparable. And this is why I wanted to be clear when I said what I said on the dividend policy. And specifically, in M&A, I've said this many times, we look at everything. We look at everything because this is a sort of not very wide market. I refer the one that offers new international opportunities. So we look at everything, but actually, we are interested in very few projects because the combination of the quality of the asset price, regulatory risk, the country, culture, culture, I mean, culture proximity to express it clearly. The combination must be a very specific one. And when this combination takes place, so we can then be very concrete in being interested in a specific project. But this happens very few times.
Operator: Your next question comes from the line of Dario Maglione with BNP Paribas.
Dario Maglione: I agree with the Chairman. The group CapEx makes sense. I think the regulated WACC should be reasonable for the next quarter. I'm more concerned about the execution. So Aena, how will Aena manage the construction risk? If I think about the construction, Aena has not done a lot of CapEx over the past 15 years. And of course, EUR 13 billion is a large number. So if there are delays, cost overruns in 1 project, what happens? Can Aena transfer some of these risks to subcontractors how would the regulator look at this for the next order?
Maurici Betriu: This is Maurici Lucena, again. Well, all that I can say at present before I give the floor to Ignacio Castejon is that as CEO of the company, I consider the company very well prepared for this very -- it's true, stressful period of an enormous amount of investment, but if it was otherwise, I would not have proposed this volume of investment to the Board and then convey it to the government for each analysis. And it's a final decision in the coming year in next year. So I think that we will be prepared. You are right when you say that it's not the same when in Spain, you invest, well, this year, we will be investing in Spain from a regulatory perspective, EUR 750 million. And this is very different from the volume that we will face in DORA III, but I consider the company very well prepared. And if there are any doubts, I would kindly ask you that you analyze what we have just done in Brazil. In Brazil, it's first time ever, and this has been said by the Brazilian authorities that an airport company complies with everything related to all the construction that was associated to the concession. And I'm very optimistic as well on the success of the construction in Congonhas, which is very challenging, of course. So -- but I think that this is a very good precedent to assess the, let's say, the probability that Aena in Spain will complete successfully the new DORA III. So again, I'm very confident that we'll do it. And now we'll give the floor to Ignacio Castejon.
Ignacio Hernandez: Thank you, Maurici, and thank you for the question, Dario. The 2027 to 2031 investment plan, of course, will be a challenge. I think one of our main aims, Dario, is maintaining and that's why it's an important challenge. It's maintaining airport capacity during the construction activity. So while the works are underway. The most significant works will begin in DORA III, and our plan in order to have them being executed and delivered, is that they will be gradually put into service. So it will be a phasing -- a phased approach, sorry. I would also like to highlight or to underline that we will tender out the projects, the construction projects when they are already designed, already completed. So when they are tender out by us, there won't be very little, I would say, very limited room for potential deviations or changes that mitigates -- that materially mitigates risk, at least from our perspective. I think the Chairman referred to Congonhas, to Recife. We also have in front of us, the example in Palma, where we are delivering the project one year ahead of schedule in 2027. Also, thank you to the investment approved by the regulator that we -- that gave us more room to finish this project next year. So I think it's a transformational phase for the company, but we think we have the right resources, tools, processes and our approach to tender contracts will help us to mitigate the risk that you were pointing out.
Operator: Your next question comes from the line of Marcin Wojtal with Bank of America.
Marcin Wojtal: I just wanted to ask about the regulatory process and the time line. So you mentioned that you have until 15th of March 2026 to submit your DORA plan to the regulator. Are you going to make it public? Are you going to perhaps organize some sort of presentation, explain your assumptions and giving us more detail? And then what happens later? Are you expecting the regulator to issue maybe like a draft determination, preliminary determination before the summer? Or we have to wait literally until September 2026 to get further visibility.
Ignacio Hernandez: Thank you for your question, Marcin. I think with respect to what the company may communicate in -- after March of next year. We haven't made an internal decision about it. So we will make that decision at that moment or in the following months if we think it's the best for the company, the shareholders and the process. If I understand well, during process -- during the process of DORA #2, there was some privileged information being disclosed by the company with some with a summary or the main elements of the proposal of the company being shared with the market. That happened in DORA #2. I think let's make a decision, let's make the call about DORA III at that moment in time, if we finish the best course of action, always taking into account our regulation and the Securities Exchange Commission regulation. With respect to your question #2, I think it's unlikely that they publicly revert to us before summer, but I don't have -- that's a question for them, not for us how they will make progress before summer with all our information.
Operator: Next question comes from the line of Harishankar with Deutsche Bank.
Harishankar Ramamoorthy: Maybe one around the tariff increase that you're talking about for DORA III, what would be a reasonable WACC behind your assumptions for a slight increase in tariffs? And on the tangent, if you do land a tariff increase under DORA III, what's the risk that airlines start pulling out more capacity. Are you worried about that?
Ignacio Hernandez: Thank you for your question, Hari. We -- of course, we are working with numbers internally and we have been working for a while. We haven't even presented to our Board those final numbers. And in the consultation process, discussions about WACC will happen later on. So it would be, I would say, it wouldn't be the right approach from our end, setting that information with you at this moment in time. Apologies for that, Hari. I'm sure that in the future, we'll be able to have this conversation, but not now.
Harishankar Ramamoorthy: No, I completely understand that. And any thoughts around what might happen to airline capacities and whether you would be worried about that, in the event of a tariff increase, I mean.
Maurici Betriu: I didn't get your question, Hari, sorry.
Harishankar Ramamoorthy: Sorry. So you've seen some reports on how certain airlines have been looking at taking capacity on the back of tariff increases. So given your projection for slight tariff increases, are you worried about any capacity changes from airlines?
Ignacio Hernandez: Sorry, I didn't understand your question initially. Apologies for that, now I got it. I think that those have been comments from one specific airline with respect to a specific season, prior to DORA #3. So what we see is a market that is one of the largest touristic markets in the world that according to ACI is going to be a top 5 market in aviation, a very important activity sector like tourism accounting for around 15% of the Spanish GDP. So we believe that there will be appetite and demand from airlines to be present sorry in this kind of market, Hari.
Operator: And the last question for today comes from the line of Jose Arroyas with Santander.
José Arroyas: Yes. Thank you for the clarifications. They were very helpful. I wanted to ask you on the Barcelona food and beverage contract. What are, in your opinion, reasonable expectations for the market increase in that contract? I can see that there is a 30% more square meters than in the previous contract, and I can see that in Madrid, a similar contract was awarded in 2023 with more than 40% increase in MAG. So I wanted to make sure my expectations that we might see the MAG rising by more than 50% in that individual contract is not out of kilter. And whilst we are on that topic, I wanted to check with you if there is any other large tender outside Barcelona food and beverage that we should have in mind during 2026.
Ignacio Hernandez: Thank you, Jose Manuel. This is Ignacio speaking. I think we are very excited about the F&B tender in Barcelona. The commercial team has been working really hard in that matter and the feedback that we are receiving from the market is that I would say it's very strong. And we are adding a space. We are trying to have a very attractive and appealing approach to this contract in terms of tenure, in terms of layout, in terms of concepts, with respect to expectations... [Technical Difficulty]
Operator: And that is the end of our Q&A session. Ladies and gentlemen, that concludes today's conference call. You may now disconnect your lines. We thank you for your participation.